Operator: Greetings and welcome to Orion Group Holdings, Inc. First Quarter 2022 Conference Call.  As a reminder, this conference is being recorded. I would now like to turn this conference over to your host, Mr. Francis Okoniewski, Vice President, Investor Relations. Thank you, sir. You may begin.
Francis Okoniewski: Thank you, Laura. Good morning, everyone and welcome to Orion Group Holdings’ first quarter 2022 earnings conference call and webcast. Joining me today are Austin Shanfelter, Orion Group Holdings’ Interim Chief Executive Officer and Craig Owen , currently serving in the capacity of Chief Financial Officer Advisor. Regarding the format of the call, we have allocated about 10 minutes for prepared remarks in which Austin and Craig will highlight our results and update our outlook. We will then open the call for questions. During the course of this conference call, we will make projections and other forward-looking statements regarding, among other things, our end markets, revenues, gross profits, gross margin, EBITDA, EBITDA margin, backlog, projects in negotiation and pending awards as well as our estimates and assumptions regarding our future growth, administrative expenses, capital expenditures. These statements are predictions that are subject to risks and uncertainty, including those described in our 10-K that may cause actual results to differ materially from those statements. Moreover, past performance is not necessarily an indicator of our future results. By providing this information, we undertake no obligation to update or revise any projections or forward-looking statements, whether as a result of new developments or otherwise. Also, please note that adjusted net income, adjusted earnings per share, EBITDA and EBITDA margin are non-GAAP financial measures under rules of the Securities and Exchange Commission, including Regulation G. Please refer to reconciliations and definitions inclusive of the most comparable GAAP measures and reconciliation tables accompanying this earnings call within the press release issued this morning. The press release can be found on our website at www.oriongroupholdingsinc.com. Also, for additional discussion of risk factors that could cause actual results to differ materially from our current expectations, please refer to our quarterly annual filings with the SEC, which are also available in the Investors section of our website. And with that, I would like to turn the call over to Austin Shanfelter, Interim Chief Executive Officer. Austin?
Austin Shanfelter: Good morning and thank you, Fran. First thing I’d like to do is thank all of the Orion team members, business partners and clients for their leadership, commitment and support over the past few weeks. It’s been quite busy around here. Our path forward is very clear. We must improve the quality of our backlog, enhance our operating margins and improve our fleet and equipment utilization. As we take action to improve our execution, our management team will be operation-focused to meet or exceed project budgets. Our end markets are strong, and the opportunities to improve margins in both Marine segment and Concrete are very clear to me. We are well underway with our search process for our new CEO and CFO. This is proving to be a tremendous opportunity for us to hire seasoned, proven successful leaders to join the Orion team. I look forward to working directly with our management team to consistently improve performance. We believe there are opportunities in the second quarter to enhance results. Our team understands the need to enhance liquidity, improve margins, sales of properties and cost reductions will impact that goal very soon. I look forward to our Q&A session. I would now like to turn the call over to Craig to discuss our financial results in more detail. Craig?
Craig Owen: Thank you, Austin and thanks everyone for joining us. I’ll now discuss the financial results for the first quarter in more detail. Revenues for the quarter were $175 million compared to $153 million in the first quarter of 2021 and $162 million in the fourth quarter. The increase compared to the first quarter of 2021 was primarily due to the start-up of large jobs that were awarded in the second half of 2021 in the Marine business and increased cubic yard production on light commercial projects in the concrete business. First quarter gross profit was $12.8 million compared to $15.5 million in the prior year period. The decrease was primarily driven by decreased project performance in the concrete business as a result of project conditions, reduced dredging volume in the current quarter and a change in mix of work in the current period. First quarter gross profit was up almost 100% compared to the fourth quarter gross profit of $6.6 million. As a percentage of revenues, gross profit margin was 7.3% in the first quarter, down from 10.1% in the prior year period and up from 4.1% in the fourth quarter. Turning to the segments. In the first quarter, the Marine segment had revenues of $84.5 million and an adjusted EBITDA of $7.3 million, equating to an adjusted EBITDA margin of 8.6%. This compares to $72.1 million of revenue, adjusted EBITDA of $7.9 million and an adjusted EBITDA margin of 10.9% in the prior year period. Marine results were up across the board compared to the fourth quarter of 2021 that had revenues of $73.1 million, adjusted EBITDA of $5.2 million and adjusted EBITDA margin of 7.1%. The decrease in EBITDA and EBITDA margin compared to the first quarter of 2021 was driven by reduced dredging volume in the current quarter and a change in mix of the work in the current period. The Concrete segment had first quarter revenues of $90.5 million, adjusted EBITDA of negative $2 million and adjusted EBITDA margin of a negative 2.3%. This compares to $81.2 million of revenue, adjusted EBITDA of $1.7 million and adjusted EBITDA margin of 2.1% in the first quarter of 2021. Concrete results were also up across the board compared to the fourth quarter of 2021 that had revenues of $89.2 million, adjusted EBITDA of a negative $4.3 million and adjusted EBITDA margin of negative 4.9%. The Concrete segment’s first quarter results as compared to the first quarter of 2021 were impacted by decreased project performance due to inefficiencies and executing work, partially offset by increased cubic yard production on commercial light projects. SG&A expenses in the first quarter were $16.2 million or 9.2% of revenues compared to $14.6 million or 9.5% of revenues in the prior year period. The increase in SG&A compared to the prior year was primarily due to additional consulting fees related to the management transition and additional property taxes, partially offset by reduced bonus expense. Net loss for the first quarter was $4.9 million or $0.16 diluted loss per share. Adjusted for nonrecurring items and the tax impact from valuation allowances, adjusted net loss was $3.2 million or $0.10 loss per share. First quarter adjusted EBITDA was $5.2 million, representing an adjusted EBITDA margin of 3%. This compares to adjusted EBITDA of $9.5 million and adjusted EBITDA margin of 6.2% in the prior year period and adjusted EBITDA of $0.8 million and adjusted EBITDA margin of 0.5% in the fourth quarter. Turning to bidding metrics. In the first quarter, the company bid on approximately $1.3 billion worth of opportunities and was successful on $189 million. This resulted in a win rate of 14% and a book-to-bill ratio of 1.08 for the quarter. At quarter end, backlog was $604 million, up from $365 million at the end of the prior year period. At quarter end backlog, $317 million was in the Marine segment and $287 million was in Concrete segment. Approximately 82% or $496 million of the quarter end backlog will burn in the next 12 months, with the remainder associated with longer term projects burning through 2023 and into 2024. Additionally, the company is apparent successful bidder or has been awarded $112 million of new work subsequent to the end of the first quarter. Of this, approximately $30 million is related to Marine, while $82 million is related to Concrete. On our current guidance, as we stated earlier this month, we are reaffirming our expectation of full year adjusted EBITDA in the mid-$30 million area. As always, we will provide an update on this as we progress throughout the year. The company ended the quarter with $28.1 million of outstanding debt, $26.9 million of which was related to the revolver. At quarter end, the company had approximately $6.7 million of cash and $13.4 million of availability under its revolving credit facility. The company is in compliance with its credit agreement covenants. With that, I’ll turn back – the call back to Laura for Q&A.
Operator:  The first question comes from the line of Joe Gomes with NOBLE Capital. You may proceed with your question.
Joe Gomes: Good morning and thanks for taking the questions.
Austin Shanfelter: Good morning, Joe.
Joe Gomes: So Austin, you have now been CEO for roughly, let’s call it, 3 weeks, can you kind of give us your first impressions? What more do you need to see and analyze before you kind of put together a longer term game plan here?
Austin Shanfelter: Well, I think people have known me, I have already started putting my game plan together and I’ve already started making some changes in dealing with some issues. I’m an operationally focused type of individual. And so literally, I’ve had the opportunity to meet with all of our key partners that support the business and all of our key leaders in the last 2 weeks. We are – it’s very clear, like I said in my opening comments that we need to improve the quality of backlog. The good news on that subject is, is that with the concrete industry – the concrete business that we’ve been in, which is the one we’ve been having most of our trouble with on margins is a business that the projects turned quite quickly. I am taking some action with that group to improve the process of what we bid things at, how much we bid and how focused we are on certain opportunities. So I think we can have instant impact on that that may even affect us during the second quarter. Just enhancing operational margins, we are going to look at things a lot closer from our estimating perspective, the type of project we have, our client quality. We have some fantastic clients that we’ve had for many, many years that are very predictable and are awesome to work with, and our teams really understand their needs. And we want to really focus on those opportunities and grow those and expand those sometimes when you get into new business opportunities, new types of projects those tend to be things that we underestimate maybe the difficulty to roll into those projects. So we’re going to put some real strong discipline into the types of things we bid and the types of customers we work for going forward. The last thing that I have been very active in already is the – looking at the fleet utilization and equipment utilization. One of the things that has hurt the company over the years is that we go through dredging where it’s very strong and then it drops off on us. And we are going to really work with our clients, with our customers and just try to smooth out the opportunity in that kind of category. So short-term, I think we’re going to make some strong impact over the next literally 30 days, and we have already started it. Long term, I’ll have to get you folks updated as soon as I can to what the long-term solutions are going to be going forward. But I do think there is opportunities right away to make instant impact and to change some directions on some of the business that we have.
Joe Gomes: Great. That’s good to hear. You somewhat touched on it, what does the bid environment look like today? Is it getting even more competitive out there or maybe you could just give us a little more color on how the bid environment looks?
Austin Shanfelter: Well, as I look at the bid environment, it’s been really strong. There is a lot of opportunity out there. I just think that it’s about a selection process. It’s sometimes people don’t look at it in a detail in a sense of you get a bid opportunity. You look at the bid opportunity. It looks like a nice job. But maybe you don’t know the customer that well, maybe you haven’t worked with them in the past, maybe we don’t have a track record with them. And I am just going to help the team really look at maybe a new way of looking at the opportunities and really focusing on opportunities that would be best for Orion, best for TAS. And I think that can enhance our ability to have more wins and have more predictable margins in the business going forward.
Joe Gomes: Okay, great. And maybe if I could sneak one more in, any update on the property sales?
Austin Shanfelter: Yes. We have two – we have both properties are under agreement right now. What I will tell you is that I am going to be a little bit stronger on the situation of if they don’t close in a very short period of time I am going to look at other options. Take for example, the East/West Jones property. We are trying to sell it as this. If we were able to get a partner that needed that fill and started working on a process to get that fill removed from that property at a very reasonable rate or maybe even for free for them to get the fill for free, that property would maybe triple in value. So if we don’t get some take on the deals that we currently have or we have any more delays in the current picked deals we have, I’m going to look for options. I don’t want to sit on this any longer and wait for something good to happen. I think we can make something good happen.
Joe Gomes: Sounds great. Thanks for taking the questions. I will get back in queue.
Austin Shanfelter: My pleasure.
Operator: Our next question comes from the line of Julio Romero with Sidoti. You may proceed with your question.
Julio Romero: Hi, good morning. Thanks for taking my questions.
Austin Shanfelter: Good morning, Julio
Julio Romero: Austin, I’d love to get your thoughts on what you’re looking for from a new CEO.
Austin Shanfelter: I would tell you the biggest thing I’m looking for on both CEO and CFO, I’m really looking for seasoned professionals, folks that really understand operations. They really understand the financial world, and they bring together years of history that are proven track records. I think that this company has tried to bring people up through the structure of the business before. And nobody knew what COVID was going to be. Everybody has done a rough time. I mean I sit here, I went through Y2K. I don’t know if that’s something you want to brag about. But we’ve been through a lot. And I think that bringing in that seasoned type of professional will really enhance the company’s ability to perform, to be more predictable. And so you’re going to see – I believe you’ll see a very operational, a very predictable person to be hired as the CFO or CEO, and I really – right now, Craig’s doing a fantastic job as the interim CFO. And I think that we will have some great candidates, maybe including him going forward on that position. So we’re going to get some good people here for sure, and I’m excited about that.
Julio Romero: Okay. That’s helpful. And I guess if you could talk about the ISG strategy – what do you think maybe went wrong with ISG? Do you think it’s the right strategy and maybe it just needs better execution? And then secondly, maybe any thoughts to maybe taking a fresh look at what target margins would be for both segments and what the time frame would be to get there?
Austin Shanfelter: I think any time you have the opportunity, and which we did was look at this business in a different way and have third parties come in and have you understand maybe where the exposures are and where the improvements can be, I don’t think that’s ever wasted time. Then you have to look at how much you spent to get what you got out of results. But we’ve definitely opened up some eyes and saw things that we have to improve on. So did it do everything we wanted to do? No, there is no way it did that. But it did open up our eyes to a lot of issues that we have to complete and keep working on. Now on the other side of that is, this thing is a – if we bid correctly – we have the right people on the field. We have to bid correctly, then we have to perform to those bids. I think that when I look at this company, I think it bats around 80% on those – on that process. And so when people talk about, for example, the concrete business, and they asked me, why are you in that, you’re not making the money. Well, we’re not making the money because we have issues on some of our work that we just don’t perform on some of our projects. So we’ve got to tighten that up. We’ve got to go be more aggressive on jobs that aren’t meeting budgets and forecasts. And then we’ve got to start looking at are those the types of projects, are those the clients, are those the type of issues that we want to be looking at going forward? So a lot more discipline in estimating and bidding, a lot more discipline on how we put teams into projects and new projects and things like that. So I think we can make some changes to reduce any losses, any shortcomings of the business very quickly. That’s my world. That’s what I’ve got involved with my whole life, and it’s near and dear to my heart. So expect change.
Julio Romero: Okay, very helpful. Thanks very much for the color.
Operator: Our next question comes from the line of Alex Rygiel with B. Riley. You may proceed with your question.
Alex Rygiel: Good morning, Austin. A couple of quick questions here, and it kind of dovetails on your last answer. But Concrete segment backlog, $287 million, I mean, that’s just all-time high record. That’s fantastic. But obviously, margin profile is kind of lousy. So I guess my question here is I’m assuming you’ve spent a lot of time here really digging into that backlog number and getting comfortable with trying to turn that around. But can you kind of talk a little bit more about that?
Austin Shanfelter: Yes, Alex. Feel good to talk to you. The way I look at the whole Concrete is that we bid where we bid, we’ve won where we’ve won. So how do we go ahead and impact some of the tougher jobs, the tighter margin prices we’ve got? We’re going to have to elevate the type of person we get in there so we can protect those margins. So we have to meet – move some crews around, move some management around, personnel around to really make sure that we really own those bids, those estimates and those margins. And at times, I don’t think we’ve done that as well as we should have in the past. So that’s number one. Number two is, those are all quick-term projects for the most part. You’re looking at a division that probably 70% of our work we turn in between 60 and 90 days. So everything we’re bidding forward, we’re going to have a lot more discipline in. So there is a small period of focus on, I’d say, $100 million that work. And we need to put teams on those projects that are truly capable, truly predictable of performance and try to improve our outcome of those. And so we’re meeting on those type of issues constantly. I’m talking to the management team there. And we might bring in some people that I’ve worked with in the past to really help us, assist us in making sure that, that’s what we accomplish.
Alex Rygiel: Excellent. And then turning over to the heavy civil Marine segment. Backlog there of $317 million isn’t all that shabby over the last handful of years, solid number. Can you talk a little bit about mix there because mix is a big driver to the margin profile of that business? And again, what I mean by mix there is how much exposure in that backlog do you have right now for future dredging projects? And how should we think about that coming through the P&L over the next couple of quarters?
Austin Shanfelter: Great question. At the end of the day, division has done really well with dredgings hot in the market, but it’s down a little bit, it’s a little tougher margins for us in the business. So we’re going to work with our clients a lot next where we’re setting up meetings right now to start working with the core and work with other groups about trying to smooth the flow of the work and flow of the opportunities, which really assists us in many, many ways as a business. So I think we’ve got to get candid about what the utilization is, how we can improve utilization and dredging. And I hope to get that done in the next 30 to 45 days. And then it will let us look at the rest of the year in a lot more functional away. So the question is, do we have our equipment in the right locations for the right opportunities, would it be better for us to move something into another market that we’re not utilizing here at the strongest we possibly can and break into new areas. So I’ll be really diving into that. What I do like about what’s happening in Marine is there is a lot more discipline in that group right now about what they are bidding, how they are doing their work. We’re bringing in some quality people. So I’m excited about adding some quality backlog to that division because I think we can handle it now maybe better than we could have 6, 9 months ago or whatever. And I want to really encourage the team to – we’re going to go out there looking for where we have to put people back, get people in. So to my competitors, we’re going to be starting to build this business and driving it forward with positive people.
Alex Rygiel: And one last question. CapEx has been running a little high here over the last couple of quarters. Can you address that and sort of your views of CapEx spending throughout the remainder of 2022?
Austin Shanfelter: I don’t have that – let’s just be really candid with you. It’s not been an area of my focus in my first 20 days. It’s something that I will look at very carefully, and we will get some guidance out there to the whole – to all of our shareholders and things as soon as possible. But we definitely know we got to look at that really hard and we will get back to you soon.
Alex Rygiel: Excellent. Thank you very much. Good luck.
Austin Shanfelter: Thank you, Alex.
Operator: Our next question comes from the line of Marco Rodriguez with Stonegate Capital Markets. You may proceed with your question.
Marco Rodriguez: Good morning, everybody. Thank you for taking my questions. I kind of wanted to follow-up a little bit on some of the prior questioning, specific, I guess, towards the backlog, Austin, around the Concrete. I heard you say that, obviously, you’re looking to improve that, get better in discipline, better at bidding. Can you maybe talk a little bit about what you sort of found over your review period as to where maybe that segment kind of went awry in terms of their bidding? I mean, I guess, the ISG strategy was supposed to have implemented a little bit better of a discipline and I believe that the ERP was supposed to kind of help out with that as well. Can you maybe just talk a little bit about that?
Austin Shanfelter: I’m going to tell you what I think happened because I got enough – I have enough knowledge to be dangerous there. But I think what happened is all this opportunity was coming in here very quickly through a lot of different clients. And our estimating team probably got overwhelmed. And I think that maybe at the end of the day and our process to supply the people to do the work got a little overwhelmed at a time where you still had the lag of COVID, so you still had the – so opportunities coming in, supply chain is affecting you, COVID’s hitting you, we’re taking on more work at that time and guess what happens? You don’t perform at the level you’re supposed to perform at. You don’t – you miss things. You think you have the right amount of people, amount of projects, you got delays on it. Equipment is supposed to show up, now you got delays on it. So I think it’s kind of an interesting thing. We’re in the middle of some tough environment, but we are growing our backlog. The jobs are turning very quickly and you can’t react to them. So right now, in that division, I’m going to be more focused on quality of it, not size of backlog I want good projects. I want projects that we’re fully aware that we can get them done. People that don’t have supply chain issues as much. So – and maybe that our margins are a little bit higher that we tend to negotiate more than we tend to low bid on. Those are the things I’m going to really focus on those opportunities, take our best estimators, put them on the best jobs with the best operators and looking for improved margins across the board.
Marco Rodriguez: Got it. Very helpful. And then on the Marine side, in the backlog, obviously, I heard your comments in terms of your focus on trying to improve utilization, helping with the mix in terms of getting some more dredging work and having quality individuals in there to kind of help you with the bidding aspects. But just wondering if you can maybe talk a little bit about the backlog for Marine, is that margin profile where it should be? Did perhaps maybe some of the undisciplined nature, if you will, that impacted the concrete segment also kind of hit a little bit in the Marine? Any color there?
Austin Shanfelter: Yes. Well, I was afraid of the first quarter. Historically, the first quarter has been a little tough quarter for Marine over the last 3, 4 years. And so if you look at that first quarter, then if you look over the past compared to now, we actually did – we had a really strong first quarter in Marine. And so that tells me that the discipline has gotten in there and that it is affecting the ability for the division to perform. And I look forward to that getting better quarter after quarter this year. So I think you had something you can really relate to when you look at maybe the past couple of years, first quarter, Marine compared to now, I think things are kicking in. And I’m pretty excited about the backlog we have. And I’m very positive about the backlog that we’re looking at right now to lock in and to bid on.
Marco Rodriguez: Got it. And last quick question for me, kind of a housekeeping item. I believe you guys mentioned some write-downs in the Concrete segment. I’m assuming those hit gross margin. Can you kind of quantify that?
Austin Shanfelter: Our numbers are – the numbers, we will report on the second one. Okay. We will have to reach out back the details of that. There is jobs that we just didn’t perform at the level that we needed to perform at it. So they are in our numbers right now. I can’t tell you exactly where they – I can’t give you the details of the question you’ve asked at this point. .
Marco Rodriguez: I understand. Thank you, guys for your time. I really appreciate it.
Austin Shanfelter: Appreciate the thoughts.
Operator: Our next question comes from the line of Poe Fratt with Alliance Global Partners. You may proceed with your question.
Poe Fratt: Yes, good morning. Austin, it seems like a little bit of a groundhog day here. You came in, in 2019. You improved as a COO, the improvement was pretty apparent pretty quickly. Can you just talk about the environment now versus your tenure as COO 3 years ago? And maybe help us understand why the changes that you made or the turnaround that happened wasn’t durable?
Austin Shanfelter: I got to say this, I’m a 65-year-old guy, has been in this business for an awful long time. I’m an operator. I’ve always been an operator, no matter what have done things with. And I’ve seen things probably a little different, a little quicker than a lot of folks whether that’s whatever. It’s just I’ve been in the field my whole life, I understand what’s going on out there. I think I have ability to impact people in the field and teams in the field very quickly. And maybe when I am not there doing it every day, it changed some things. I don’t look for blame there. I just look – it’s a frustrating issue. I can – I believe we can make change here long-term this time. I don’t know what’s going to be the keys. But I am driving to make sustainable change that last way past me making a change as CEO going forward. And I think by here, once again, bringing to the seasoned professional the CFO position, bringing to the seasoned operational professional the CEO position, I think are going to help us really grow the business, really reach its potential and not echo the fact of what happened. We have got to drive things as we see them here today. The fact that I am going to stay on after the new CEO is named for about another anywhere – for the rest of the year, whatever it takes as the Executive Chair, I think tells the market, tells our investors that we are committed to having the next change to be smooth, the next change to be accountable, the next change to be realistic of what to expect. And I am not – we are not going to let off until we got that right.
Poe Fratt: Great. That’s helpful. And would you categorize the sort of the slipping back into the old ways as more of a people issue and/or a systems issue?
Austin Shanfelter: Here, again, I would tell you that it’s probably people issue. I mean it’s just, you can have the best IT platform in the world at your company. But if you don’t have people out there doing the things they need to do in the field every single day, day-in and day-out, that don’t have all that assistance of information every day, then you slip. And here, again, I think the point that I want to make is you have got a lot of successful managers, a lot of successful estimators, a lot of successful projects that the company has performed on. The problem is it slipped on some and when it slipped, they really slipped hard, and it really went backwards hard. So, this is not a total rebuild, a total fix. This is attacking the issues that we have had and attacking maybe a division or certain opportunities that we went over our skis on. This is about looking at certain areas and resolving. And one of the things I have talked to the whole team about is that if you have a project that’s not in a positive mode and it goes to negative, you will be on my list, not just on your manager’s list. And I think we just have to raise that level of awareness and raise that level of focus that we are not going to allow that to happen.
Poe Fratt: Okay. And then on East/West Jones, can you just confirm that the preliminary sales agreement for a sale in the mid-30s is still intact and on track to potentially close around the middle of the year?
Austin Shanfelter: Well, it’s on track at the end of this month, I believe. And they have to the end of this month to put hard money in. And so in a few days, we will know that answer.
Poe Fratt: And then you seemed to imply that with a little bit of improvement, whether talking about the fill that, that property might triple. Is that – can you give us sort of a timeframe on how much work and how much time it would take to get that property value of over $100 million?
Austin Shanfelter: Let’s say, we will double. For discussions sake, let’s say we can double the value of that property. I don’t know how fast we get that fill out there. But that property’s value is and it was for us, it would be for anybody else, that would be the only place the Houston Ship Channel where you could instantly start dumping materials out of the ship channel right in that location again. So, it just drives the value up. If it’s the only place, it would be the most convenient place, it takes the value up substantially. So, it’s just something that if we can’t get this sold in a short period of time, I want to look at other options. I don’t want to be talking in about six months talking about, hey, we got a new offer. Hey, we are still the same number. Right now, we got to get focused on running our business, making this happen. And this is a liquidity event that would be awesome if we can get it done, it’s fantastic for the firm. But if it doesn’t move quickly, I am not going to be patient, I am not going to wait for the next person in. And maybe the fact we start moving it out moves somebody up on the food chain a little bit faster themselves. And maybe by getting that material removed, somebody else might look at it that way and then the profit becomes more attractive as well. So, I just don’t want it to sit in the same form it is. I want to move forward with something positive functional that may cause something to happen that’s really positive.
Poe Fratt: Great. And I know it’s a lot smaller, but you sort of alluded to a sale that slipped pretty much consistently for the last several quarters. Can you just update us on Port Lavaca?
Austin Shanfelter: Yes. It will be clear, it’s a finance basically individuals that want the property. They want it. They want it bad. They totally communicate with us constantly. And so it’s just getting the money and be able to close the property – close the opportunity.
Poe Fratt: Great. Thanks for your time.
Austin Shanfelter: You’re welcome.
Operator:  Our next question comes from the line of Daniel Albano with Albano Capital. You may proceed with your question.
Unidentified Analyst: Yes. Hey Austin. Can you hear me?
Austin Shanfelter: Sure. Hi Daniel. Are you able to sell…
Unidentified Analyst: No worries. So, two questions. One is, if I look at the Concrete segment from 2018, it had a minus EBITDA margin – adjusted EBITDA margin of minus 1.5%, ‘19 0.3%, ‘20 2.1% and ‘21 minus 1.2%. It’s clearly, in my opinion, has destroyed a decent chunk of the value of the equity. Why would you not sell it? I mean you have been – even for a low price, say, book value. 4 years into it, you see where the stock is at. I just – honestly, I mean, if you look at the last 4 years, it’s a bad business, why would you not – how do you justify keeping it, given not 1 year, not 2 years, not 3 years, but 4 years of pretty abysmal returns? And then I got a second part question. Thanks.
Austin Shanfelter: Well, I want to find the value in our business. And I am going to look at every single thing that you need to look at. I believe knowing the team like I know them, I believe that we can impact that business in a way that is positive and then in a way that it’s going to drive value to the shareholders of this company. If you want to ask me that question in two quarters, it could be a whole different answer. But right now, I would ask you to – I have done this before in my life. I am in a different position right now to dictate decisions, to drive decisions, to drive process, to drive procedures and this business can be fixed. Once again, I am going to go back and I am going to say to you, you are looking at the full results. What I have the benefit to do is look at the parts. And I am telling you that there is – a lot of this business is performing quite well. Now that might go right into your argument and your discussion. If you have that, why are you still holding on to it. Well, if you were seeing that performance on – let’s say, on 70% of the business, you may not feel the same way about what you are asking me, okay. So, I am going to work at getting that business – heading in the right direction, to get the right people in it so the entire business is performing. When we see those numbers, then I think we should make the decision. And I am not going to take a lot of time. I am not going to procrastinate. I don’t have that brought in my life. I have a sense of urgency. So, I am going to go through that process. I am going to trust my instincts, my ability to do what I think I can bring to this table, my team’s ability to step up where they need to step up. I feel comfortable with the leadership there. They are good people. They are strong people. It’s going to take a few things that we need to do to make a couple of changes and to get that more discipline in the results.
Unidentified Analyst: Got it. So, well said. I will come back and ask you a couple of quarters on the Concrete segment. Hopefully, we see – I am a big shareholder, so I got the vested interest here. The second question is on the East West Jones property. What – I mean given you have got a market cap somewhere around $70 million today, if you could go from – in your words, $30 million to $60 million in East West Jones, I mean do you have the ability to go do that. I mean you have a contractual commit where you got to sell it for $30 million. I mean to me, if I am sitting with an asset I could double – if I am sitting over a company that’s got a $70 million market cap, and I got an asset market cap go from $30 million to $60 million, that seems like a no-brainer. Do we – do you have the ability to get out of the $30 million contract and try to double your money – try to double your sales price on East/West Jones or no, or you are – you have got a contract to commit?
Austin Shanfelter: What I am clearly saying to you, Daniel, is that I am not going to sit on the snowball offers that are happening and a lot of conditions to close the property. I am not going to do that. So, I am going to call as many people in Houston as I can to see if I can find partners to possibly start taking that fill out of that property. I think the fact that we start doing that, it either – we either may go through the full process to get it all the way done or if we start doing it partially, somebody may look at this property a lot differently than they are looking at today. So, I just believe that sitting here waiting for an offer maybe not be the best. Also, if I could sell that thing for maybe a little bit less than we have it in the market right now and somebody can come in close and fund in a very short period of time, I am not going to ignore that either because I don’t want to – that’s not what – the property is not what we do. However, the liquidity would make a big change in the company. So, I am going to be more aggressive on making the decision that I believe and the Board believes will add value to this company to the shareholders in a very short period of time. I can’t tell you exactly what’s going to happen today, but I will tell you, it won’t take me that long to make a decision.
Unidentified Analyst: Perfect. And just a close follow-on, and then promise I am done. The proceeds on the land sales, given the challenging margins in the business, I would advocate for either, unless it’s just working capital, you absolutely need, but it’s working capital for – and particularly on the concrete side that are – that is challenging returns to either reduce debt or buyback shares. So, what are you going to use to…
Austin Shanfelter: Reduce debt.
Unidentified Analyst: Got it. That’s all I had. Thanks for taking all my questions Austin.
Austin Shanfelter: Thank you very much. Look forward talking to you.
Operator: Ladies and gentlemen, we have reached the end of today’s question-and-answer session. I would like to turn this call back over to Mr. Francis Okoniewski for closing remarks.
Francis Okoniewski: Thanks Laura, and thanks everyone, for joining our Q1 2022 earnings conference call. We look forward to updating you on our Q2 results in July. Have a great day.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation. Enjoy the rest of your day.